Operator: Greetings, and welcome to the Diana Shipping Incorporated Fourth Quarter conference call. At this time, all participates are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions.). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Edward Nebb, IR Advisor for Diana Shipping. Thank you Mr. Nebb. You may begin.
Edward Nebb: Thank you very much. Good morning, and welcome you to the Diana Shipping, Inc. fourth quarter and year-end 2010 conference call. The members of the Diana Shipping management team who are with us today include Mr. Simeon Palios, Chairman and Chief Executive Officer; Mr. Anastasios Margaronis, President; Mr. Andreas Michalopoulos, Chief Financial Officer; Mr. Ioannis Zafirakis, Executive Vice President and Secretary; and Ms. Maria Dede, Chief Accounting Officer. Before the management begins their remarks, let me briefly summarize the Safe Harbor notice, which you can see in today's news release. Certain statements made during this conference call, which are not statements of historical fact are forward-looking statements and are made pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based on assumptions, expectations, projections, intentions, and beliefs as to future events that may not prove to be accurate. For a description of the risks, uncertainties, and other factors that may cause future results to differ materially from what is expressed or forecast in forward-looking statements, please refer to the company’s filings with the Securities and Exchange Commission. And now, let me turn the call over to Mr. Simeon Palios, Chairman and Chief Executive Officer of Diana Shipping, Inc.
Simeon Palios: Thank you. Good morning and thank you for joining us. I am pleased to report that Diana Shipping emerged from 2010 and present 2011 in a position of financial strength. We have persistently followed a strategic course that combines prudent in growth and conservative capital management. That approach was a significant factor in determining our performance during a challenging year for our industry. I would like to review a number of key developments during the past year. We expanded our fleet during 2010, ending the year with 25 ships including two Newcastlemax vessels, now under construction. Our investment policy would have a favorable effect on our long-term ability to generate revenue. We have demonstrated the continued ability to maintain excellent relationships with our existing quality customers such as Cargill, BHP [inaudible], J. Aron, NYK, [inaudible] and [inaudible]. And we have established new relationships with other strong customers during the year including Minmetals Logistics Group, Sinochart, and the Resource Marine. As I mentioned on last quarters call, we created a major relationship with the Export-Import Bank of China. As a result on the acquisition financing that they provided for our New Castle Max [inaudible]. Given the role of China Eximbank, as a leading provider of funding for the shipping sector, our close working relationship represents an additional source of financial flexibility. In financial terms, 2010 was a year of profitable growth for Diana Shipping despite the difficult positions in the market. Notable achievements of the last year, net income increased to $32.3 million for the fourth quarter of 2010, and they reach $128.8 million U.S. for the full year. Voyage and Time Charter revenues totaled $73 million for the fourth quarter of 2010 and $275.4 million U.S. for the full year. We view conditions in the dry bulk market for the year ahead as extremely challenging, particularly in terms of the supply and demand in balance. Now, more than ever, it is important to exercise this strength and resiliency of the Diana Shipping business model. We have monitored our fleet for consistency and stability with exception of only two of our vessels, the vast majority of the fleet is chartered for periods arranging from the late 2011 to 2016. We have maintained our focus on reserving a healthy balance sheet. This is reflected in our record cash position of $345.4 million as of December 31, 2010. And we continue to operate with minimal leverage. Long-term debt including the current portion was $383.6 million at the end of 2010 compared with [inaudible] equity of nearly $1.2 billion. Going forward, we will continue to operate with a prudent capital structure and balance chartering strategy and the focus on the top quality charters to provide stability in a volatized business environment. Through this strategy, we look forward to delivering and enhance shareholders value over time. With that, I will now turn the call over to our President, Anastasios Margaronis for a perspective on industry conditions. We will then be followed by our Chief Financial Officer Andreas Michalopoulos, who will provide a financial overview. Thank you.
Andreas Michalopoulos: Thank you, Simeon, let’s just hope that our audience would be patient and understanding as regards what we present over the next few minutes, and will not draw the wrong long-term conclusions from an example of the fatality of the dry-bulk shipping industry. During the last quarter of 2010, some pretty dramatic developments took place in dry bulk shipping. The bulk is trying to stop the delay this quarter of 2010 at 2,462 and on January 4, 2011, stood at only 1,693. The Baltic Cape ziindex was at 3,419 on October 1, 2010 and ended at 2,285 on January 4, 2011. The equivalent figures for the Baltic Panamax Index were 2,412 and 1,789 respectfully. These are pretty dramatic moves even for a volatile industry such of shipping. Here we try in explain the reasons behind this volatility and offer some pointers as to what might be the future course of the dry-bulk market over the next few quarters. Of course, dry-bulk shipping is very volatile and no one can predict its future. Rebound from the economy crisis led the global investor production to grow around 10% in 2010. The higher-than-usual growth rates in regions like Japan, the United States and European Union would be attributed according to merchant brokers to the low levels to which investor production fell in 2009. Consequently and in line with the expected slower GDP growth, global industrial production growth is expected to slow down in 2011 to about 5%. At the same time, however, the international monitory fund has raised its target for global economy growth this year to 4.4% from 4.2% which was the estimate given out last October. This revision was the result of stronger-than-expect U.S. output based on tax cap extensions. The U.S. economy is now expected to grow 3% this year. The coal cost for China and India were up 9.8% and 8.4% respectively. By comparison, according to the median estimate of senior columnist surveied by Bloomberg during 2011, gross domestic project is expected to grow by 9.1% in China, 3.1% in the U.S. and 1.5% in the Euro regions during 2011. Chinese macroeconomic data released at the end of January this year shows that in 2010, GDP growth stood at 10.3%, the highest figure in three years. As for 2011, we agree with the forecast offered by Deutsche Bank according to which a less expansionary fiscal policy will be adhered to. During the second half of the year, at this inflation trend should reflect the following factors. First, the monetary; that is a credit deceleration, interest rates, and bank reserve ratio increases as well as property tightening measures should start restraining inflation and inflation expectations by the middle of the year. Secondly, the real economy should begin to decelerate on a sequential basis from the second half of 2011. This will likely be driven by the fading of inflation-led demand growth and the slowdown in export growth. A deceleration of the real economy should help cool down demand and thus prices. In conclusion, we can draw from all the above macroeconomic considerations is that the microenvironment remains supportive for shipping. Outlooks have improved over the last quarter for the U.S. and Europe, though high inflation in China has surfaced as a concern. Naturally, all this does not take account of the supply side; something we will be doing later on in this short presentation. In past presentations we had looked separately at each of the major commodities shipped in bulk. We feel at this time, it might be more constructive to concentrate from the supply side and less so on commodity shipments, which are more broadly publicized and agreed on by players involved in the dry-bulk shipping industry. Shipments of iron and ore, thermal coal, coke and coal known as metallurgical coal are expected according to Clarkson Research Services to grow between 5 and 13% this year with an average increase in bulk shipments of about 7%. This takes into account the 1% anticipated increase in the shipments of grain cargos. This will translate into a total of about 390 million tons of additional bulk cargos anticipated to be shipped during 2011. A major quality factor on the demand size is we often neglected Chinese coastal trade. According to shipping elements, [inaudible], core statistics show that Chinese coastal trade grows by about 35% last year. This was to a large extent caused by more coal moving from the producing regions in the north to the consuming areas in the Southeast. Draft calculations indicate that 15 Greece and coastal trade created a nearly 2% additional rise in global tonnage demand in 2010. We are confident that the very few shipping elements and investors have realized already the importance of this new strain. Before we move on to supply considerations, we ought to mention that according to Gibson, during 2010 world feed production rose by about 7.8% to the largest percentage increases happening in South Korea and the European Union which saw 24.3% and 8.4% increases respectively. At the same time, Chinese steel stockpiles continue to rise. Figures provided by Commodore Research, shows these stockpiles now stands at 14 million metric tons. Looking at the stockpiles of the main raw material used in the production of steel, the stockpiles of iron and ore in China reached an all-time high of 78 million tons at the end of last year, while coke and coal stockpile dropped slightly. The lesser trend will probably intensify as Chinese coke and coal producers had expected to export to material to Japan and Taiwan, which according to Clarksons are likely to be more seriously affected by the lack of Australian coal due to the recent flooding in Queensland and now the extreme weather phenomena, which followed. Let’s look at congestion now. We cross over from demand to supply and we consider core congestion as being a hybrid statistic as analyst uses hybrid of demand, core supply tax are affecting bulk shipping freight rates. According to Clarksons, core congestion in Australia and coal fleet stands up 78 vessels with an average delay of about 23 days. This congestion has decreased over the past few weeks as we raise capacity and operations in Queensland are steadily improving following the flooding and the passing of Cyclone Jessie. The number of vessels at Anchorage and China’s ore port has returned to normal levels after spiking earlier this year. The average wait in time has increased slightly to about six days due to the Chinese New Year. Overall, world congestion as of February 14 stood at about 288 vessel with a total of 3,348 ship days delay, which went down about 15.5% compared to the earlier week. Scraping now. During 2010, only 2.6 million tons deadweight of Capes were scraped and just 700,000 deadweight of Panamax expenses. However, due to the weak rate market so far in 2011, 1.2 million tons deadweight worth of Capes and 500,000 tons deadweight of Panamax vessels have been sold for scrap. At this rate, we could expect about 8 million tons of Capes and 4 million tons of Panamax tonnage to be scraped this year unless of course the freight market improves from its present in depressed levels. Now we have to perform the inevitable and rather unpleasant task of looking at the new billing order book. According to Clarkson Research, at this point in time there are 638 tapes on order of 124.3 million tons of deadweight representing 58.5% of the total fleet. The Panamax order book stands at 955 vessel of 77.4 million tons representing 56.7% of the existing fleet. Scheduled delivery stands at about 58 million tons of capes for this year and 45 million tons for 2012. For Panamax’s, delivery are more evenly spread at around 33 million tons deadweight for 2011 and 2012 respectively. From 2013 onward, the numbers drop but at the same time there are plenty of birth available for new orders. Turning to the famous-by-now slippage figures, according to the world yard, 66% of scheduled dry-bulk deliveries were actually delivered during 2010. According to private securities, slippage and cancelations together are estimated at 35% in 2011 and about 15% in 2012. If these assumptions are realized, dry bulk supply growth would be 12.9% in 2011 and 11.5% in 2012, including Panamax demand. Private Securities estimate that overall, bulk carrier demand will increase by 10.1% in 2011 and 7.4% in 2012. This compares to 13.1% we saw in 2010. According to these figures, there may be a negative supply demand balance of minus 1.6% in 2011, and minus 3.5% in 2012 assuming scrapings have the numbers we have seen thus far this year. Even if the freight rates remain at current level, be according to Private Securities further pressure on ship values as more and more vessels are being circulated in the market per se. With these statistics in mind, it is rather hard to explain the strong new building ordering activity we witnessed during 2010. Again, according to our [inaudible] part of the reason for all these new orders maybe that new delivery prices for bulk carriers were 40% lower in 2010 than during their peak two years earlier. Another reason could be the ability of ship owners to charter out the new tonnage from long-chart contracts at levels that justifies these new lower prices. The third reason is that a number of Chinese owners ordered new vessels for the fast expanding domestic coastal trade. Looking out in the near and medium term rate market development, we need to favor the view offered by Gibson. They believe that firstly, the Queensland trade will have returned to near normal levels by the end of March this year. Secondly, dreading another maintenance work at the major resilient iron-ore loading Port of [inaudible] will have finished by the end of this month allowing shipments to increase significantly. Thirdly, the rising bunker prices will lead a number of older and less efficient, fuel efficient capsize vessels to be sold for scrap as it will find it difficult to secure profitable employment. And fourthly, with low freight market, several owners will negotiate with the yards for later delivery of their new building vessels. This slippage together with the increased number of ships heading for demolition will make the net growth of the fleet less onerous than the basic growth figure of new buildings for delivery 2011 would indicate. It is these slippage-adjusted numbers that we have represented earlier on. Therefore, Gibsons believe that the freight market will improve in March, and during the second quarter but do not expect the rest of the year to show any great excitement on the upside. China looks set for a relatively flat year considering the company’s past shipment growth rate. A major unknown factor is what would happen politically in Egypt and the Middle East over the next few months. If the political turmoil’s dies down, Egypt expects a pretty flat year. However, there is a possibility that serious tensions in that part of the world [inaudible] positive repercussions for world shipping company we have witnessed in the past, when there was political turmoil at that part of the world. So once again, we are faced with an uncertain future as regards to dry-bulk carrier freight rates. As we constrict from several locations and conference calls in the past, it is for exactly this reason that at Diana Shipping we try to implement ship acquisition and trafficking strategy which do not take into consideration any specific forecast for future freight market developments. The aim, as increasing our earnings per share and increase free cash flow from our operations. Our strong balance sheet enables us to implement this ship acquisition quality with conservative debt and virtually no concerns about the short or medium term future of the freight market, which no one can accurately predict. I will now pass the call to our CFO and Treasurer, Mr. Andreas Michalopoulos, who will presenting to you Diana’s fourth quarter 2010 and 12-month financial results.
Andreas Michalopoulos: Thank you, Anastasios, and good morning. I am pleased to be discussing today with you, Diana’s operational results for the fourth quarter and year ended December 31, 2010. Fourth quarter of 2010, net income for Diana Shipping Inc. for the fourth quarter of 2010 amounted to $32.3 million and the earnings per share of Diana Shipping amounted to $0.40. Voyage and Time Charter revenues increase to $73 million from that of $58.6 million in 2009. The increase is attributable to increased revenue due to the addition in our fleet of the vessels Melite in January, New York, in March and [inaudible] 2010 and the company’s participation in Diana Containerships, Inc. Ownership days were 2,251 for the fourth quarter of 2010, compared to 1,813 in the same period of 2009. Fleet utilization was 99.5% in the fourth quarter of 2010, and 98.9% in 2009. The daily time charter equivalent rate for the fourth quarter of 2010 was $31,602 compared to $31,003 for 2009. Voyage expenses were $3.5 million for the quarter. Operating expenses amounted to $14.9 million, an increase by 32%. The increase attributable to the 24% increase in ownership days resulting from the delivery of vessels in Melite and New York, [inaudible] and the container vessel [inaudible]. Operating expenses also increased due to increased repairs and maintenance cost of the vessels. This increase was partly set off by decreased fuel costs and insurance costs. Daily operating expenses were $6,631 for the fourth quarter of 2010 compared to $6,238 in 2009 representing an increase of 6%. Depreciation and amortization of deferred charges amounted to $14.3 million for the fourth quarter of 2010. General and administrative expenses increased by $2.3 million or 48% for the fourth quarter of 2010 to $7.1 million compared to $4.8 million in 2009. The increase was mainly attributable to increase in salaries, compensation costs of restrictive stocks, legal fees, expenses leading to the acquisition of the land and building by the company and expenses relating to Diana Containerships. Interest and finance cost increased by $0.6 million to $1.5 million for the quarter compared to $0.9 million in 2009. This increase was attributable to increased average debt during the fourth quarter of 2010 compared to 2009, an increased average interest rates. Net income for Diana Shipping, Inc. now for the year-end December 31, 2010 amounted to $128.8 million. The basic earnings per share of Diana Shipping for the year amounted $1.60. Net income for the year has been increased with losses attributed to minority interests amounting to $0.9 million. Voyage and Time Charter revenues for 2010 increased to $275.4 million compared to $239.3 million in 2009. The increase is attributable to the addition in our fleet of the vessels Houston in October 2009, Melite and New York in 2010, and our participation in Diana Containerships, Inc. and was partly offset by decreased average hire rates during 2010 compared to 2009. Ownership days were 8,348 for 2010 compared to 7,000 in 2009. Fleet utilization was 99.7% in 2010 and 98.9% in 2009. Days on time charter equivalent rate for 2010 was $32,049 compared to $32,811 for 2009. Voyage expenses were $12.4 million for 2010. Operating expenses amounted to $52.6 million an increase by 27%, an increase attributable to the 19% increase in ownership days resulting from the delivery of our Houston, Melite, and New York [inaudible] and the container ship Sagitta and Centaurus. The increase was also due to an increase in stores, fares, and repairs. Daily operating expenses were $6,299 for 2010 compared to $5,910 in 2009 representing a 7% increase. Depreciation and amortization of deferred charges amounted to $53.1 million for 2010. General and administrative expenses increased by $7.8 million or 45% for 2010 to $25.3 million compared to $17.5 million in 2009. The increase was mainly attributable to increases in salaries, compensation cost on restrictive stocks, office rent, one of taxes and expenses and expenses relating to Diana Containerships, Inc. Interest and finance cost increased by $1.9 million to $5.2 for 2010 compared to $3.3 million in 2009. This increase was attributable to increased average debt during 2010 compared to 2009 and increase average interest rate. That summarizes the financial section, thank you for your attention. I’ll be pleased to respond to your questions and I will turn the call to the operator who will instruct you as to the procedure for asking questions.
Operator: (Operator instructions). Thank you, our first question is coming from Urs Dur of Lazard Capital Market.
Urs Dur – Lazard Capital Markets, LLC: Good morning, guys, or good afternoon.
Anastasios Margaronis: Hi. Good morning. Hi.
Urs Dur – Lazard Capital Markets, LLC: The presentation was extremely detailed, so that is great. I was interested if Stacy, maybe can give a little bit of color on the reduction in congestion of late. It looks like things are getting loaded, and you mentioned this, in Australia. Do you expect this moment to increase, and then with being able to exit Australia of late, demand for ships to get in line for loadings to improve and see some improvement in the spot rates in the nearer term from these very low levels?
Anastasios Margaronis: There are too many unknowns, here. First of all, we are not entirely certain how many ships have been redirected to load the cargos that they couldn’t get from Australia to places like the Unites States and Canada. So there we have one question mark because these ships are going to be tied up for at least another 40 to 60 days, carrying the cargo that they were supposed to be carrying from Australia to the far East. So, that’s one unknown. But there is no doubt that as far as that is concerned, given time, the ships will return to load from ports in Queensland in Australia, and logically, congestions should gradually increase after dropping a little further for the next few weeks. So, we expect as far as that part of the world is concerned to see a further drop in congestion, and then a gradual increase. Now, we have to look to China for the iron-ore discharging ports. The situation there is that the Chinese usually deal with congestion more efficiently than anybody else, and even though we expect increased shipments between now and the middle of the year, we think that there would be no significant change in congestion for the Chinese iron-ore discharging ports, which leaves us basically with the iron-ore loading ports in South America. Now there, if everything goes smoothly, which it very rarely does in South America, this would be no significant increase in congestion, especially after the work in [inaudible] was completed as I mentioned during the small presentation. So, in total, if you gather South America, Australia and China, we don’t really expect congestion to increase at all the lack of tonnage as regards the basic commodities, leading to a significant support in freight rates.
Urs Dur – Lazard Capital Markets, LLC: So, you expect it to say relatively weak throughout the remainder of the year in your view?
Anastasios Margaronis: No, as we mentioned earlier, we agree with the analyist’s view that the then you have a gradual maybe improvement between now and middle of the year. Then, if you’ll be expecting it to spiral to weak the freight market, except of course, accepting the effects of major political events in the Middle East or elsewhere in the world, which might of course distort this picture; usually in favor of the freight market though on the bulk side.
Urs Dur – Lazard Capital Markets, LLC: I hear that, very good, and I generally agree with that. You have a very nice war chest of cash, guys. I expect $4-plus per share, and it does look like you’re trading probably below your net asset value despite weak or asset values as of late. What is your view of asset values and what can we do with this cash? Buy back shares, or buy more ships? I mean, I guess it’s a rhetorical question, but more to highlight what you think maybe you might be able to do with it.
Andreas Michalopoulos: Hi, this is Andreas. I’ll go back to what you said about the net asset value, you know that we never comment on that, but the cash that we have on the side is for buying new vessels and think wait, and you will see Diana Shipping buying vessels for the next year or so.
Urs Dur – Lazard Capital Markets, LLC: You would think it’s better to be buying assets now with this cash than say buying back stock or giving a dividend.
Andreas Michalopoulos: For certain it is much better than paying a dividend at this part of the cycle, and not only that, for buying back stock, you need a big sound of the net asset value to do so.
Urs Dur – Lazard Capital Markets, LLC: Yeah, I suppose. Okay, thank you for your time, gentlemen. I appreciate it.
Andreas Michalopoulos: You’re welcome.
Operator: Thank you. Our next question is coming from Gregory Lewis of Credit Suisse.
Gregory Lewis – Credit Suisse Group: Thank you, and good afternoon.
Anastasios Margaronis: Hi, Greg.
Gregory Lewis – Credit Suisse Group: Stacy, first, could you touch on the comments you made about the older cape size vessels being less efficient, and you made that comment about using bulker. Roughly speaking, how much less efficient are those older capes?
Anastasios Margaronis: I think that it depends what year you are talking about, and from which building you are talking about? Now, the capes we built in Japan are lighter in weight, thus they have a better consumption than the rest of the suites built in China or wherever. Now, the older type I would say is approximately 4-5 times today, the young ships are more efficient than the old ones at about 4-5 times, which of course is a big differential price wise, because the price of oil is very high toady, so you are talking about 2,000-$3,000 daily.
Gregory Lewis – Credit Suisse Group: Okay, great,. And then I guess thinking about you were successful in spinning out the Diana Containership, Inc., at this point, given many potential opportunities in containership space, is there any thought or discussion about Diana Shipping, Inc. making further investments in Diana Containership, Inc.?
Anastasios margaronis: Greg, this is something that the board of directors of Diana Shipping would decide in the future. The fact that we have still another 11% in Diana containers we’ve seen, it shows that we still have an interest in containers that Diana Shipping, Inc., and it remains to be seen based on the situation of Diana Containership, Inc. and the project that we represent.
Gregory Lewis – Credit Suisse Group: Okay, great, and then just really quick, one last question. Clearly, you’re in the markets every day looking at ships to acquire on the dry bulk side, when you think about where new building prices are and you sort of match that up with where modern second-hand vessels are, do you think the opportunities are relatively even at this point, or do you think there is more opportunity in either the new building or the second hand market?
Anastasios Margaronis: I think it is good to be evenly spread. We are looking for re-saves, we are looking for older ships, two or three years old, and we are looking for new buildings also, but not as much as the resaves. We are focusing more on the resaves.
Gregory Lewis-Credit Suisse Group: Okay, great, thank you very much for the time.
Anastasios Margaronis: You’re welcome, thank you.
Operator: Thank you, our next question is coming from Natasha Boyden of Cantor Fitzgerald.
Natasha Boyden-Cantor Fitzgerald: Thank you, operator. Good morning, gentlemen.
Natasha Boyden-Cantor Fitzgerald: I wanted to ask you what you are seeing in terms of longer-term charges in this market. Are you seeing charters willing or interested to put ships away for longer than a year, and if so what kind of discounts are you seeing to go beyond two or three years?
Anastasios Margaronis: Well, there is quite a range today for the capes. This is about $6,000. For the year, you are talking today between 17 and $19,000 for a good cape, so there is a difference.
Natasha Boyden-Cantor Fitzgerald: Okay, but I mean are you seeing interest charters put ships away longer or are they still looking at just sort of shorter-term charters?
Anastasios Margaronis: There are some charters who would be looking for ten-year periods, which does not attract us. I think the most we will be going is about five years.
Natasha Boyden-Cantor Fitzgerald: Okay. All right, great. Thank you. Just about rates coming down, asset volumes coming down, there’s also been concern that some companies could be in violation of the loan covenants. Given that banks appear to be healthier than a few years ago, what do you anticipate that banks are going to do in terms of potentially foreclosing your vessels? Do you think we’ll see more of that or do you think that banks will still be willing to negotiate with companies?
Anastasios Margaronis: Well, we had a loan on the containers for approximately two years, and there we have seen no for sales. Now, I think it would be different for the dry cargo and maybe we’re going to have for sales.
Natasha Boyden-Cantor Fitzgerald: What do you think the difference is, then?
Anastasios Margaronis: Well, the difference is that the containers are in the hands of very few people, and the banks have supported them. Plus the fact that the interest rates are very low, so the banks are happy provided that you are paying the interest rate But it’s not the same thing with the dry cargo, so we maybe be having for sales in the dry cargo.
Natasha Boyden-Cantor Fitzgerald: Okay, great. Then just lastly I have a question; can you provide us some guidance on your anticipated dry -docking in 2011 and ’12, and did you have any dry docking in the fourth quarter?
Ioannis Zafirakis: Yes, we had actually three vessels that went in to dry docking the fourth quarter, that’s when we bought the vessel Titan in November with the vessel of Coronis in November and bought a vessel 19th of November as well. In 2011, we have scheduled dry docks for quite a few vessels, actually, for motor vessel, actually Alcyon, Naias and Thetis, Protefs and that’s all. So, that’s what is in 2011.
Natasha Boyden-Cantor Fitzgerald: Okay, thank you very much, that’s very helpful.
Ioannis Zafirakis: You’re welcome.
Operator: Thank you, our next question is coming from Fotis Giannakoulis of Morgan Stanley.
Fotis Giannakoulis-Morgan Stanley: Yes, hello there. The only thing I want to ask is about the big spread that we see right now in the co-prices between the domestic Chinese co-prices and the regional prices. Do you think that this is going to have an impact on the Chinese imports for coal and consequently for the Panamax vessels?
Anastasios Margaronis: Logically, it should, but the picture becomes slightly more complex due to what I mentioned earlier regarding coke and coal exports; that they would find profitable to make to other countries in the Far East. And because of this Australian replacement move that we’re going to be seeing. So generally, we believe that coal is going to be actively traded in China, one way or another regardless of practice credential. Under the coastal trade moving coal, increasingly so as we have seen in 2010 and they are going to be both imports and exports of different types of coal. So we are very confident that coal over all, coke and coal, is going to be the highlight as far as the growth is concerned in volumes of commodity going in and out of China.
Fotis Giannakoulis-Morgan Stanley: Is it something that you are you’re talking about for 2011, or also for the next couple of months?
Anastasios Margaronis: Well, we can’t pinpoint exactly when. Possibly, the next couple of months all the way through the year. But the next couple of months we’ll see basically the coke and coal moving through Taiwan, Japan and other Far Eastern countries, definitely because the contracts are there for that to happen. And also later on during the year we are going to have movements of coke and coal in and out of China and along the Chinese coast in larger and larger quantities.
Fotis Giannakoulis-Morgan Stanley: Thank you very much, thank you.
Operator: Thank you, our next question is coming from Scott Malat of Golden Sachs.
Scott Malat-Golden Sachs: Thanks. My question on vessel operating expenses, can you just help us think through the puts and the takes here of the next year? I guess I was thinking more of a higher insurance cost, you guys highlighted that insurance cost might have been down year over year, help us think through that, thanks.
Andreas Michalopoulos: Actually, our operating expenses if you compare them to last year in the quarter they were up 6% and during the entire year they were up 7%. The main reason here was definitely not insurance cost, those are actually pretty steady. We don’t have big variations on those. What is making the variations, and especially quarter to quarter is mainly the different works that we do when a vessel goes in to dry docks. To give you a very simple example, the main increase in the operating expenses in the fourth quarter are due to two things. The first is that the three vessels that went in to dry docks, Triton, Coronis, and Danae, we take the opportunity when a vessel goes in to dry docks to do some extra work in terms of repairs on deck. And the other example here, which made the operating expenses spike was the fact that we had initial supplies for two containership vessels that were for the fourth quarter pretty fully consolidated with Diana Shipping, Inc. results. Now, going forward, we foresee an average operating expense per day for 2011 at $6,450, that’s what we put in to our models and this is the budget we have made for 2011.
Scott Malett-Golden Sacks: Thanks, that’s very helpful. Within that number, is there a way, just qualitatively to think about insurance cost and crew cost, do they come up from here? You’ve already given us the dry docking schedule but what is the breakup there?
Andreas Michalopoulos: Basically, we give you real figures for the entire year, of 2010, and the breakup of the operating expenses was 54% came from crew costs. So 54% of the operating expense are crew costs, 8 % are insurances, 24.1 % were stores and fares, 11.9 % were repairs and maintenance, 1.4 % were some miscellaneous, and 0.6% were various taxes, and that is 100 % of the OpEx for 2010. So more or less, you have this break down. The major part of the possible breaking expenses are crew costs and yes, insurance. Insurances come out of the operating expenses.
Scott Malett-Golden Sacks: All right, that’s helpful, thanks. Just lastly, you had mentioned a little bit about the Middle East, can you expand on any of that? Have there been any disruptions that you’ve seen in the Middle East? And then what kind of things we should be looking out for and impacts, or risks and essential benefits that you can kind of get from that? Thanks.
Anastasios Margaronis: As long as the Suez Canal remains open, the deductions have been mainly encouraged with the containership vessels calling in Egypt where we have had some delays and cancelations of port calls. And I assume now in Lybia we are going to have similar phenomena’s developing. We haven’t seen anything else, which is more dramatic in terms of affecting the schedule of bulk carriers call in that part of the world. So, the key question here is the Suez Canal, which it does not look as if we are going to have any serious distraction in transit through the canal up and down. So with that secure, let’s call it, we don’t see any significant effect because the rest of the countries have relatively low volumes of trade in bulk commodities compared to the world figures as a total.
Scott Malett-Golden Sacks: Thanks.
Anastasios margaronis: You’re welcome.
Operator: Thank you, our next question is coming from Doug Garber of FBR Capital Markets.
Doug Garber-FBR Capital Markets: Good afternoon, guys.
Anastasios Margaronis: Hi, Doug.
Doug Garber-FBR Capital Markets: My first question is, in terms of your due diligence for vessel acquisitions, how many vessels are you currently looking at on the dry bulk, and if you would, the container side too? How many have you visited, and where do you stand on that process?
Anastasios Margaronis: Well, on the dry side, we are looking at approximately 25 ships. We are expecting some of them, we have already inspected some of them, but because most of them are resaves, we know exactly where we are because we have the specification of each one. So some of them we are inspecting physically, and some of them we have them on paper.
Doug Garber-FBR Capital Markets: Okay, that’s helpful. In terms of the amount of – you have a lot of liquidity, how much further do asset prices need to fall, before you would get very aggressive and start to purchase those 25 ships that you are doing due diligence on?
Anastasios Margaronis: Well, it is not how much the prices fall, as much as the freight rates fall. And we strongly believe that the freight rates are low when they’re exactly the same as the running expenses of the ship. Then of course, the freight rate is at these levels and it will proportionally affect the price of the ships. Now, at the moment, the freight rates, or the bulk carriers are approximately three times or 2 ½ times more difficult to realize the expenses. So they have a lot of room to go.
Doug Garber-FBR Capital Markets: Okay, that’s helpful. In terms of the amount of liquidity you have, would you guys consider putting leverage on your unencumbered vessels currently to maximize the amount of cash available per acquisition?
Anastasios Margaronis: In theory, the net up should see it with 50 % literally. That’s in theory. So we have plenty of money aside to grow, of course.
Doug Garber-FBR Capital Markets: All right, I think that’s all my questions. I’ll turn it back. Thank you.
Anastasios Margaronis: You’re welcome.
Operator: Thank you, our next question is coming from Sal Vitale of Sterne, Agee. .
Salvatore Vitale – Sterne, Agee & Leach, Inc. : Good morning, gentlemen. I just have a quick first question on the expense side. Looking at G&A expense, came in about 7.1 million this quarter, can you just tell me whether there is any impact of the Diana Containerships there, or how do we think about that going forward? Is that a decent run rate to use in our model going forward?
Andreas Michalopoulos: Yes, Sal, actually, there was an impact of Diana Containerships, and the impact for the year was about $3.5 million. And so I would, going forward, think that after the spinoff, Diana Containerships, Inc. would not be consolidated anymore with Diana Shipping, Inc. therefore as for the first quarter, 2011, I would use as a run rate for your G&A around the $21.6 million for the year. So, that is what I would use, and therefore taking out the DCI chunk of it.
Salvatore Vitale – Sterne, Agee & Leach, Inc. : Okay, that’s helpful. And then I think it was Ioannis, your comments earlier regarding where you would need to see freight rates be before you dive in and make a significant acquisition of second hand vessels, and you said about where the running expenses are. So it seems that you still have a pretty cautious hand on the market, and given that, what should we expect? What are your plans in terms of fixed order coverage for 2011, and for 2012, because I think at 2011, currently you are at about 85 % of your days are fixed?
Ioannis Zafirakis: Ninety.
Salvatore Vitale – Sterne, Agee & Leach, Inc. : Ninety, right, closer to 90. And for 2012 I have you at about 50 % more or less? Should we think of any significant increase in that 50%?
Ioannis Zafirakis: No, you shouldn’t expect anything different other than [inaudible]. What we will do is start with the vessels they are operating, and try to place them in such a manner that we feed the portfolio the entire portfolio we have will be [inaudible] of the company. We have a very strong feeling about what is going to happen in 2011, however we do not know what is going to happen in 2012. And this is exactly the reason why we are not entitled to commit all of our vessels for a longer period. We will continue our scheduling strategy the way we have said. As our chairman said earlier, the lowest point is where the freights are close to the operating expenses, but never the less, we have to keep buying vessels in the manor, and not wait for that to happen, although we believe that we may see that.
Salvatore Vitale – Sterne, Agee & Leach, Inc. : Right, so is it your view, and I know it’s really hard to say-there’s no crystal ball-but is it your view that the decline in rate in the BBI that occurs sooner rather than later in the first half, is a 2011 event?
Ioannis Zafirakis: As our president, Mr. Margaronis said, this is more probably the second half of 2011 event to happen.
Salvatore Vitale – Sterne, Agee & Leach, Inc. : Okay, thanks, that’s really helpful.
Operator: Thank you, at this time I’d like to hand the floor back over to management for any closing comments.
Simeon Palios: Thank you, again for your interest in and support for Diana Shipping. We look forward to speaking with you in the months ahead. Thanks.
Operator: Thank you, this concludes today’s teleconference. You may disconnect your lines at this time. Thank you all for your participation.